Mia Nordlander: Hello, everyone, and very welcome to Sinch Q4 2025 presentation. My name is Mia Nordlander, and I'm Head of Investor Relations and Sustainability. And with me here in the room today, I have our CEO, Laurinda Pang; and our CFO, Jonas Dahlberg. So today, you will hear Laurinda and Jonas present the quarter and thereafter, we will have time for questions. [Operator Instructions] So once again, very welcome, and I hand over to you, Laurinda.
Laurinda Pang: Thank you so much, Mia, and thanks, everyone, for joining us today. 2025 was a year of disciplined execution where we achieved record high profitability while regaining our growth momentum. The fourth quarter marks a strong finish to the year, and I'm pleased to report another period of continued organic gross profit growth and improved profitability. Let's turn to Slide 2 to look at the highlights from the quarter. The fourth quarter shows that we are firmly on the path to regained growth with solid momentum in our largest businesses, the Americas and our API platform, which was partially offset by headwinds in EMEA and APAC. We are closing the year with record high profitability. Gross profit grew 3% organically, and our gross margin expanded by 2 percentage points to 35%. Combined with our disciplined cost control, this resulted in an adjusted EBITDA margin of 14%, an increase of 1 percentage point year-over-year. And our cash conversion for the quarter was a solid [ 84% ] Finally, we continue to return value to our shareholders. We have now repurchased 8.8% of our outstanding shares, and we have called an Extraordinary General Meeting later this week to seek approval for canceling these shares. This cancellation is a strategic step as it will enable the Board to decide on additional buybacks within the 10% limit until the 2026 AGM. Please turn to Slide 3. Our performance this quarter and throughout 2025 is a direct result of our strategy built on 3 pillars: reaccelerating growth, expanding our EBITDA margin and active capital allocation. Our focus on healthy product mix, commercial discipline and operational efficiency is driving our progress, and we remain firmly on track to deliver our midterm financial targets. Now let's look back at the full year on Slide 4. When we put that strategy into perspective, you can see on this slide that 2025 was the year our disciplined execution has placed us on a strong trajectory toward our midterm goals. We achieved exactly what we set out to do. We rebalanced regaining our growth momentum while simultaneously delivering record high profitability. This performance was powered by solid development in the Americas region and in our API platform products. I'm pleased with the progress we are making towards our key financial targets. And in fact, with an adjusted EBITDA margin of 14% this quarter, we have already reached our target range that we set for the end of 2027. With gross profit growing 4% organically year-over-year, we are firmly on our way towards our 7% to 9% year-on-year financial target for the end of 2027. And we continue to be focused on building a resilient and sustainable business through diversifying our customer base, winning in next-generation messaging and e-mail as well as improving our commercial terms, which supports top line revenue growth and continued profitability. Also, our performance is being recognized externally. We were named a market leader by both IDC and ROCCO. For the third consecutive year, Gartner named Sinch a leader in its "Magic Quadrant Leader for CPaaS," which is a powerful validation of our global reach, competitive position and consistent platform leadership. On Slide 5, you can see our progress on our growth priorities. Our progress is anchored in a clear strategic framework built around four growth drivers. I will briefly touch on each of them here and then go deeper on selected areas in the following slides. The foundation of predictable, high-quality growth comes from four core drivers, as I mentioned. Our enterprise customer base grew a consistent 5% with leading brands such as Google and Albertsons among the top contributors to gross profit growth. At the same time, our high-margin self-service products delivered another stable quarter of 10% on a year-to-date basis. Building on this stable base, next-generation messaging is an important growth driver. Adoption of RCS continues to increase with volumes growing 260% year-over-year. Customers, including PayPal and OneMain Financial ranked among our top 10 customers by volume in the fourth quarter. Finally, we are expanding our partners and ecosystems channel, which serves as our strategic gateway to the AI economy. This includes signing new innovative AI partners such as Lovable. In parallel, we are also deepening relationships with established global leaders across our ecosystem. A strong example is Adobe, where we closed several significant deals in the fourth quarter. Now let's look closer at the quality of our enterprise customer base on Slide 6. This chart clearly illustrates a key strategic achievement. We are building a more diversified and resilient customer base. Growth is increasingly driven by a broad set of enterprise customers beyond our top 10. This deliberate shift reduces our exposure to highly competitive, lower-margin traffic and is a key driver behind our margin expansion and improved earnings quality. At the same time, it's important to note, though, that this is not a story of substitution. We continue to maintain our strong and stable position with some of the world's largest CPaaS customers who rely on our global network and platform for their communications. We are simply layering on new high-quality growth. Let's turn to Slide 7. Our market leadership is now translating into strong and accelerating commercial momentum, particularly in our largest market of North America. This is not a coincidence. It's actually a result of the deliberate changes in our go-to-market strategy and operations that we put in place last year. Those changes were focused on creating a more disciplined, accountable and effective commercial organization. We started by aligning our entire commercial team around a segmented operating model to focus our resources on the highest potential customer tiers. This strategic alignment was underpinned by true operational rigor, including a significant simplification of our job architecture to create clearer roles and accountability. That structural clarity is brought to life by a culture of high performance. We radically streamlined our sales compensation plans, which have directly led to improved quota attainment and integrated tools like our new CRM to establish a disciplined data-driven business cadence. The results of this transformed approach are clear. In the fourth quarter alone, our team delivered significant wins, including securing a 7-figure multimillion-dollar deal with a leading HR software company. Expanding our partnership with a leading hotel chain to over 100 countries and landing a 7-figure voice deal with a large U.S. health insurer. These are not just isolated victories. They're actually proof points of a strategic transformation that is delivering sustainable, high-quality growth. Let's turn to Slide 8. Our leadership in next-generation messaging is a key pillar of our growth and nowhere is this more evident than with RCS. We are at the forefront of a major technology shift with our RCS volumes in the fourth quarter increasing by 260%. The driver is simple. RCS delivers better outcomes because it changes what messaging can do. It turns one-way notifications into rich interactive experiences that can generate up to 10x the engagement of standard SMS, translating into higher conversion rates and stronger ROI for our customers. But here's the most exciting part of this for us. Despite this incredible growth, RCS still accounts for only 3% of our total messaging volume. We are in the early stages of a multiyear technology shift and capturing this transition from SMS to RCS is a significant and durable growth tailwind for Sinch. When our clients see a step change in engagement, they don't just send more alerts. They create entirely new conversational journeys. This expands their total interactions and spend on our platform, delivering -- driving revenue growth. At the same time, enabling these higher-value interactions embeds us as a strategic partner, and that strengthens our customer relationships, reduces churn and increases lifetime value. Let's turn to Slide 9, please. Our strategy for winning in the AI economy is built on a proven playbook. Since our founding, Sinch has been the communications backbone for the major technology shifts from mobile to the cloud. And we are a key part of the tech stack for leaders in each of these eras, and we are now the indispensable backbone for the AI era. We are the trusted execution layer within the AI ecosystem itself. We are embedding our technology with both established AI leaders and on platforms like our new partner Lovable, where the long tail of new AI native businesses is being born. This strategy creates an incredibly efficient growth engine. It allows us to capture the next wave of agent-driven communication volumes at its source, building a durable strategic moat for the decade to come. We are ensuring the next wave of global innovation runs on the Sinch platform. So as I hand the word over to Jonas to take you through the financials and details, let me summarize quickly. We have delivered a strong year of profitable growth as a result of delivering value to our customers and partners and by executing with discipline. We're confident in our strategy and our ability to continue creating value for our shareholders. Thanks for listening here today, and I look forward to taking your questions shortly.
Jonas Dahlberg: Thank you, Laurinda. Without further ado, let's get into the numbers. So let's flip to Page 11. So as in previous quarters of 2025, we faced strong FX headwinds in the fourth quarter, actually pronounced headwinds. And the negative FX impact was minus 10% on net sales and minus 11% on gross profit. Adjusted for FX, we have a reduction on organic revenue, mainly driven by reduction of low-margin contracts. But combining this also with a positive mix shift, this yields a continued positive organic GP growth of 3% in the quarter at a similar level to the 4% average we've had throughout the year. The Americas is the engine. So let's look at that in more detail by flipping to the next Page 12. So Americas is our most important region by size. It's more than 60% of our gross profit and is the group's growth engine in the year and in the quarter. Americas delivered 7% gross profit growth with a 3 percentage point increase of the margin to 36%. And what's also great to see is that the largest business we have in Americas, the API business with enterprise messaging and e-mail is the main contributor to growth. The growth in the API business was strong and outpaced the decline we've seen in verification with e-mail and messaging. Also, network connectivity shows stable underlying performance. What's important, though, to understand here about network connectivity is that in Americas, we had a hit on the revenue of approximately SEK 60 million related to a traffic dispute with a customer. At the same time, we have a positive contribution from almost the same amount, completely unrelated in API platform related to traffic fees from a supplier. Combining these 2, the effect on Americas gross profit and group gross profit is nil, but you will see some movements between the segments. Moving over to EMEA. We see strong growth in applications. Also the core part of API messaging grew strongly, but we continue to face headwinds from the fixed price contracts in EMEA. These contracts are being phased out to -- well, material being phased out. And as of the end of the first half, we expect no impact from continued phase out of these contracts. In APAC, we have strong growth in the API business, except continued decline in India and also some competitive pressure in Australia. So it looks like a mixed bag, but the important takeaway here is the most important business we have, which is on a regional level, the Americas, and on product categories being the API business in e-mail and messaging, they are doing very well. So let's flip page and look at what's happening on margins. It's actually a record high delivery. We have continued improvement of margins in the quarter. We have strong gross margin of 35% and for the year, the highest gross margin and EBITDA so far. We've already covered actually most of the important drivers. It's about the mix shift on product level and reduction of low-margin contracts. And combined, this drives this very solid and continued gross margin expansion. On the EBITDA margin side, also what contributes is disciplined cost control and continued synergy extraction. Real quick flip to Page 14 to look at the cost development. So here, the nominal number shows actually a decline of OpEx with 8%. But also here, we have FX effects at play. But if we adjust for the FX effect, we still have a very disciplined development of cost with only a 1% organic increase in OpEx. Combined all, we have an organic growth of EBITDA -- of adjusted EBITDA of 6%. And we have an even higher improvement of non-adjusted EBITDA. What we have here is last Q4, a SEK 700 million provision on indirect taxes in the fourth quarter. Moving over to cash flow. That's on Page 15. Super strong cash conversion, seasonally strong quarter, 84% cash conversion. That's free cash flow of SEK 1.5 billion over the last year, and that's a 40% cash conversion. It is within our guidance range of 40% to 50%. Important to remember, last year, we had 60% cash conversion. Now it's 40%. If you look over time, our cash conversion is 50%, but we have some working capital swings. And you can see that in the cash flow on the right-hand side of this chart. But just to prove the point that you shouldn't be concerned about this. It's more normal swings. We turn to Page 16. As you can see, working capital here, net working capital is still in a favorable position. That means we have a negative working capital. And what you see here in the quarter is a seasonal increase in payables that contributes to a positive cash release. So in a nutshell, some swings between quarters, but truly continued solid working capital. Turn to Page 17, looking at leverage. We're still at a solid 1.6x leverage. This is a slight increase from the trough in Q2, driven basically by the share buybacks we've done. We bought 62 million shares during this period for close to SEK 1.9 billion. And in addition, we bought shares through an equity swap arrangement of SEK 364 million on top of that. Still have SEK 3.7 billion available in use in credit facilities that we can use for general corporate purposes such as buybacks. Now to the topic of buybacks, move to Page 18. So back to our strategy, it is to have an active capital allocation strategy. And we have returned cash to shareholders through the buyback program. So in the 2025 AGM, we got a mandate from the AGM or the Board got a mandate from the AGM to buy back 10% of the shares, and that started after the report of the second quarter. Then we have stepped up treasury shares to first 1.8% end of Q3 to 7.3% at year-end. And currently, we hold 8.8%. And with this background, the Board of Directors have convened an extraordinary general meeting for shareholders on Thursday, to vote on the cancellation of the existing treasury shares and a positive vote would enable an additional 10% buybacks until the ordinary AGM in May. And the question is obviously then how much shares can we buy back. I'd like to first be clear that the Board will, at every point in time, decide what they think is in the best interest of the shareholders. So this is more an illustrative example. But we've had an average free cash flow conversion of 50% over the last few years. And with the current situation, we can easily buy back 10% of our shares per year. Add on top of that, our current GP growth rate and our existing margins, we can more than double profit per share in 5 years. And this is what I would call the bedrock case for Sinch. On top of that, obviously, as we step up towards our organic GP growth target, this can be even more favorable. So with this background, the Board of Directors believe it's in the shareholders' interest with flexibility for accelerated buybacks. So just before we open up for Q&A, just to remind you about our strategy on Page 19. We will continue to execute for growth reacceleration, continue working with our profitability within the target range and then active capital allocation, including share buybacks. And with that...
Mia Nordlander: Thank you so much, Laurinda and Jonas. [Operator Instructions] First, I have Erik Lindholm-Rojesta from SEB.
Erik Lindholm-Rojestal: I'll start with two here. So you have highlighted sort of several headwinds to growth, most of which seem to have been present already in Q3. But I mean, from your point of view, is there really anything new in terms of headwinds that started to impact here in the quarter? Any changes in the sort of competitive intensity? And then secondly, I just wanted to ask sort of on the AI part. Twilio seems to be having a solid acceleration in AI use cases and AI customer intake, particularly around voice. I mean, have you seen any sort of impact, increased customer intake or increased usage from AI agents here?
Laurinda Pang: Erik, this is Laurinda. Thanks for the questions. First of all, with regards to headwinds, we don't see anything new to your point, which is correct, we did call them out in the third quarter, and we saw them again in the fourth quarter. We also said this morning that we expect similar trends in the first half of this year in terms of the headwinds, but we also see the momentum continuing in both the Americas and API. So very similar to the second half of 2025. With regards to the AI use cases, we made the announcement with regards to Lovable being a strategic partner -- and it is just an example of the use cases that we are both pursuing as well as winning. We've established an AI partnership team that we are deploying around the world to pursue these partnerships so that we can natively integrate with these AI native companies, both in terms of the LLMs as well as those who are building platforms to enable other AI native companies and applications to be created. And so we're very optimistic about this opportunity. And the reason being is because we believe that we have the exact right infrastructure and capabilities to execute in this AI economy. Agents, to your point about the agent use cases or agents really proliferating and exploding customer communications, we agree with that sentiment, and we do see communication volumes starting to increase. And we believe that we have the appropriate channels of communication at scale in a trusted environment to be the best poised partner for those AI companies.
Erik Lindholm-Rojestal: All right. Excellent. Just one follow-up, if that's all right. Just on the gross profit growth that you mentioned there, just quantifying what you said, is it fair to say that you see sort of -- you see similar growth as in H2 now into H1 on gross profit?
Laurinda Pang: Yes.
Mia Nordlander: Okay. Next one, we have Laura Metayer from Morgan Stanley.
Laura Metayer: Three questions from me, please. On the network connectivity business, was the weaker organic growth only due to the customer dispute? Or was there anything else to call out this quarter? Second question on the midterm organic growth targets. I know you've talked a little bit about the drivers for that growth acceleration. I'm curious to hear if there is one driver that you would call out that would be the main one that you expect will drive acceleration of growth to the [ 7% to 9% ] target that you've set? And then last question on your midterm guide for the margin. So obviously, you've already reached the top end of that guide. Do you still see more opportunities to continue increasing the EBITDA margin?
Laurinda Pang: Sure. Thanks very much, Laura. In terms of network connectivity, to your point, we called out that one-timer of SEK 60 million. There's nothing else that we would call out around network connectivity. We'll continue to manage that business as we have been, which is to manage it for cash ultimately. And so that's been a pretty stable business for us. In terms of the midterm targets, to your point, we called out four growth drivers, and that was around enterprise growth, self-serve, conversational messaging and e-mail and then finally, partnerships and ecosystems. If I were to pick one, I mean, all four are important, but if I were to pick one, it would be around partnerships and ecosystems. We see enterprises starting to purchase more and more through partnership and also the AI ecosystem very specifically requires a tremendous amount of integration to be built in the broader ecosystem. So I think that particular area of focus around partnerships and ecosystems is the one that we absolutely need to nail. And then finally, in terms of the midterm guidance or targets, I should say, with regards to our adjusted EBITDA, for everybody's purposes, we have targeted 12% to 14%. And to your point, we're at the top end of that range. We're going to stick with that -- those targets at this moment in time. We are always looking for opportunities to create efficiencies within the business. You should expect to see us do that as a normal course of business practice. But we also need to ensure that we're investing in growth. And so we're going to retain that financial target at this time.
Mia Nordlander: Next one, we have Thomas Nilsson from Nordea.
Thomas Nilsson: With your current modest leverage, how should investors think about the balance between share buybacks, M&A opportunities and debt reduction over, say, the next 12 to 24 months?
Jonas Dahlberg: Yes. I think we have a clear capital allocation strategy. And currently, we think it's in the shareholders' interest to continue the buybacks, and that's why the Board has recommended shareholders to vote for this cancellation of shares and hence, that provides more flexibility to commence the buybacks. So -- and if the share would rerate significantly, it could be that M&A becomes more attractive, and then we switch gear basically to M&A. The Board will, at every point in time, assess what's the best capital allocation. When it comes to leverage, I mean, we have a leverage target, which is that we should be below 2.5x. We could, for periods go over 2.5x, but 2.5x is the target.
Mia Nordlander: And now we have Fredrik Lithell from Handelsbanken.
Fredrik Lithell: I just had sort of a housekeeping. The fixed price contracts that you ended and that you have described and talked about since last summer, are there any other of those new types of contracts that you sort of cancel or discontinue? Or is it the same that we talked about as you talked about in the fall? So that's pretty much the first question. Could you -- Laurinda, could you talk a little bit more about America and what drives the growth for you because it's quite healthy right now, and it also looks quite broad-based when you look at the type of clients you're signing up. Are there you that are more active in new sales? Or is it the market that is turning more sort of growth oriented or so could you talk about that?
Laurinda Pang: Sure. Yes, absolutely. Fredrik, why don't you take the first one, Jonas, and I'll jump back on the two.
Jonas Dahlberg: Yes. So when it comes to the fixed price contracts, these are the same contracts that we talked about earlier. And many of these contracts have a 3-year duration, so it takes some time to phase out.
Laurinda Pang: Fredrik, I appreciate the question on the Americas. It's a combination of a number of things. This was the largest region that had probably the most complexity in it when I look at Sinch, meaning that all of the acquisitions that we had done historically, they all had meaningful presence in the Americas. So when we attempted to transform this part of the business, we had a lot of consolidation coming from a lot of different entities bringing these sales teams together. So the way that I think about it is the North Star was defined for the go-to-market channels, which meant that we had a full Sinch portfolio across all of the different channels of communication, and we wanted our sales teams to be able to offer that full portfolio to their customers ultimately. That took some time, of course. It requires training and enablement. It requires changes of incentive plans, which also take time for salespeople to absorb and understand how to operate within their incentive structures. It requires tooling and visibility into their customers. And so a lot of the work has been done in the background to make sure that the sales teams have that enablement, that visibility and also are focused in on the highest growth opportunities. So a big part of what took place during the -- really the last 18 months or so in the Americas was a big effort around segmentation, making sure that we had the right capabilities and the right talent focused in on the highest potential customers. And that translates differently by segment. So it's a number of things. Certainly, the market is strong. We see that with some of our competition. And had you given me this market 2 years ago or 3 years ago, I don't think Sinch Americas would have been in a position to capitalize on it, but we are now.
Fredrik Lithell: Do you feel also the same sort of the response from large enterprises that they recognize you in a different way today after all your internal efforts to sort of also have a better window to the clients?
Laurinda Pang: Yes. I think the large enterprises were frustrated by us in prior periods because we did not face them in a unified way. That's not the case now. There's a very specific account relationship and account-based marketing, quite frankly, that we face off to these customers. And so -- and the conversations are also elevated within the enterprise. So you're no longer just speaking with engineers or marketeers, you're speaking at a higher level within those organizations to be able to discuss and negotiate larger commercial opportunities.
Mia Nordlander: Next one, we have Victor Cheng from Bank of America.
Hin Fung Cheng: Maybe just two from my end. Going back to the point about buybacks and M&As and the balance of it. Have you seen maybe some of the targets that you're tracking valuation coming down? Is it an opportunistic moment to maybe look at more acquisitions or maybe on the private side, that hasn't really reflected some of the derating that we saw on the public side? And then secondly, just on the whole kind of AI-driven conversational messaging narrative, can you help me understand maybe overall what levers they are to monetize AI? Have we thought about like maybe different pricing model, outcome-based pricing or whatnot?
Laurinda Pang: Jonas, do you want to take the first one, please?
Jonas Dahlberg: Yes. So to your first question, what we're looking at and how those valuations are changing. I can't really or don't really want to comment that. But obviously, valuations in general are being challenged by the market. And if opportunities arise, we will act on that. And so far, we found it to be more attractive to do share buybacks.
Laurinda Pang: And on the second one with regards to AI and more broadly conversational messaging. When we think about the role that Sinch is playing within the AI ecosystem, it is to enable or execute the communication layer. And as more and more agents are tasked with workflows and certain business outcomes, they will decide ultimately who they choose to send communications through. What we're doing now is trying to natively integrate with these AI platforms and these AI native companies to ensure that Sinch is the obvious choice for those agents. In terms of pricing models themselves, I don't think that we've figured out a new interesting way to do it just yet. I mean, obviously, each commercial agreement and relationship does tend to have nuances to it, so they could differ. But I do think that there is an opportunity to layer intelligence and orchestration into this model in a way that hasn't existed before. So those are areas that we have a right to win in and that we will continue to explore in order to further monetize this opportunity.
Mia Nordlander: Next one, we have Deepshikha Agarwal from Goldman Sachs.
Deepshikha Agarwal: I just had like a little bit of a housekeeping sort of a question. The first one was basically like up until the third quarter, it was indicated that there will be sort of a reversal of the revenue impact that was there in network connectivity in Americas that would impact in the fourth quarter. But again, we have sort of a COGS reversal as well, which is sort of like netted off. So just wanted to understand like this dynamic and how to think about it going forward. And the second one -- and then again, also on the top line, it's basically like understanding the bridge between the current like 3% organic growth fourth quarter in terms of -- and how -- like how should we think about it in FY '26 in terms of the growth trajectory for the gross profit? And the third one is basically like there was a tax provision of like about SEK 700 million, which was recorded in 2024, which was supposed to be paid out over the course of the next 2, 3 years. Just wanted to understand like what exactly will that be? And how will the dynamic look from a cash out standpoint on that?
Laurinda Pang: Sure. Do you want to take the tax provision piece, Jonas, and then I'll come back with one and two.
Jonas Dahlberg: So on the tax provision, so this -- our best estimate now is there will be about SEK 200 million cash out for the tax provision during this year and the remainder in the future. But I would like to emphasize this is a preliminary estimate.
Deepshikha Agarwal: Okay. And then just to -- just to clarify, there was no payout this year would be the way to think about it?
Jonas Dahlberg: There's been a minor payout so far, but it's very limited.
Laurinda Pang: With regards to network connectivity going forward, I mean, we -- the reason why network connectivity has performed as well as it has is we took very specific actions around it. But remember, what we've always said about network connectivity is it's a fairly flat business in the market. And we would continue to manage that business for cash ultimately. But the actions that we took over the course of the last year and will continue to try to affect the actual results of network connectivity is two things. One was negotiating the pricing side or the cost side, I should say, with our suppliers and then also re-rating some of the pricing that we had with regards to our customers. So I think you should continue to think about network connectivity in the same way. In other words, relatively flat growth, and we will manage it for cash. In terms of the organic growth at the GP level, it was 3%, to your point, in fourth quarter. We said last year that the first half of the year would equal the second half. It did exactly that, and we averaged out at 4% for the full year. What we've said today is that we expect the same trends in the first half of this year, meaning that we see the tailwinds and the momentum that we're seeing in the Americas as well as in the API business to continue, but we also expect those tailwinds that we called out around the fixed price contracts winding down and the pressure in India and Australia to continue also in the first half. So you can do your calculations to come up with what that means ultimately.
Mia Nordlander: Next one, we have Bharath Nagaraj from Cantor.
Bharath Nagaraj: Just a couple from me, please. How are you preparing in terms of what could be the potential impact when there is more rollout of passkeys instead of onetime passwords? I've heard recently somewhere in the news that some countries are proposing this, and there could be -- this could happen in other regions as well. I do know that Sinch has like all sorts of security approval processes, but just wanted to see if there's any impact and if there's anything else you need to do to prepare for that? And secondly, if I may, what else do you need to do in 2026 and 2027 to unlock, let's say, further growth within the main lever that you suggested that the partner ecosystem. Is there any investments you need to make, development, et cetera, as well? Or is it already all done and you think that you're in a good place to deliver on the targets of 7% to 9% growth?
Laurinda Pang: Thanks, Bharath. In terms of the -- basically the security side of things and verification, the business that we currently have today with regards to onetime passcodes is relatively small in the overall messaging business that we have. That being said, we do have several different verification and security type of products to be able to offer out into the market. But we also, like many others out there, looking at the selling verification and basically Verification 2.0 so that we can enable or leverage network APIs around verification. So I'm not sure if that's answering your question explicitly, but that's how I think about it. In terms of the second piece and what needs to unlock further growth, we're on a trajectory to that midrange growth target. I don't think that there's anything new in terms of investments that we need to make in order to meet that 7% to 9% target that we've put out for ourselves by the end of 2027. Like I said, we've grown 4% in 2025. The target is 7% to 9% by the end of 2027, and we've got 1.5 years in between. And we always said that it would be a steady march towards ultimately that growth. Are there opportunities to invest? Yes. And we will continue to evaluate those and make sure that we get the appropriate returns within the business and for our shareholders.
Mia Nordlander: Next one, we have Erik Lindholm-Rojestal from SEB. No, maybe that was one -- thank you. So thank you, everyone, for listening to us today. We will be back for the Q1 presentation on 7th of May. If you have any questions, feel free to reach out to the IR department. And once again, thank you very much, and goodbye.